Operator:
Daniel Tucker:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Operator: 
Greg Gordon - ISI Group:
Thomas Fanning:
Greg Gordon - ISI Group:
Thomas Fanning:
Greg Gordon - ISI Group:
Thomas Fanning:
Operator:
Paul T. Ridzon – KeyBanc Capital Markets Inc.:
Art Beattie:
Thomas Fanning:
Paul T. Ridzon – KeyBanc Capital Markets Inc.:
Art Beattie:
Paul T. Ridzon – KeyBanc Capital Markets Inc.:
Art Beattie:
Operator:
Ali Agha – SunTrust Robinson Humphrey, Inc.:
Art Beattie:
Thomas Fanning:
Ali Agha – SunTrust Robinson Humphrey, Inc.:
Thomas Fanning:
Art Beattie:
Ali Agha – SunTrust Robinson Humphrey, Inc.:
Thomas Fanning:
Operator:
Kevin Cole - Credit Suisse:
Thomas Fanning:
Kevin Cole - Credit Suisse:
Thomas Fanning:
Operator:
Kit Konolige - BGC:
Thomas Fanning:
Kit Konolige - BGC:
Thomas Fanning:
Operator:
Mark Barnett - Morningstar:
Art Beattie:
Mark Barnett - Morningstar:
Thomas Fanning:
Operator:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Paul Patterson – Glenrock Associates:
Art Beattie:
Thomas Fanning:
Art Beattie:
Paul Patterson – Glenrock Associates:
Thomas Fanning:
Operator:
Brian Chin – Citigroup:
Thomas Fanning:
Brian Chin – Citigroup:
Thomas Fanning:
Operator:
Michael Lapides - Goldman Sachs:
Thomas Fanning:
Operator:
Jonathan Arnold – Deutsche Bank:
Thomas Fanning:
Jonathan Arnold – Deutsche Bank:
Thomas Fanning:
Jonathan Arnold – Deutsche Bank:
Thomas Fanning:
Jonathan Arnold – Deutsche Bank:
Thomas Fanning:
Jonathan Arnold – Deutsche Bank:
Thomas Fanning:
Operator:
Anthony Crowdell – Jefferies & Company:
Art Beattie:
Thomas Fanning:
Anthony Crowdell – Jefferies & Company:
Thomas Fanning:
Operator:
Angie Storozynski - Macquarie Research:
Art Beattie:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Angie Storozynski - Macquarie Research:
Art Beattie:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Angie Storozynski - Macquarie Research:
Thomas Fanning:
Art Beattie:
Thomas Fanning:
Angie Storozynski - Macquarie Research:
Thomas Fanning:
Operator:
Ashar Khan – Visium:
Thomas Fanning:
Ashar Khan – Visium:
Thomas Fanning:
Ashar Khan – Visium:
Thomas Fanning:
Ashar Khan – Visium:
Thomas Fanning:
Ashar Khan – Visium:
Thomas Fanning:
Ashar Khan – Visium:
Thomas Fanning:
Operator:
Dan Jenkins - State of Wisconsin Investment Board:
Art Beattie:
Dan Jenkins - State of Wisconsin Investment Board:
Art Beattie:
Dan Jenkins - State of Wisconsin Investment Board:
Art Beattie:
Dan Jenkins - State of Wisconsin Investment Board:
Art Beattie:
Dan Jenkins - State of Wisconsin Investment Board:
Art Beattie:
Operator:
Thomas Fanning: